Operator: Greetings, and welcome to the Uranium Energy Corp.'s Fiscal 2026 First Quarter Results Conference Call. Today's call will be hosted by Amir Adnani, President and CEO. Also joining for the Q&A session of today's call are Josephine Man, Chief Financial Officer; Scott Melbye, Executive Vice President; and Brent Berg, Senior Vice President of U.S. Operations. [Operator Instructions] Please note this event is being recorded. Today's call will run approximately 15 minutes for prepared remarks followed by Q&A. [Operator Instructions] I would now like to turn the conference over to Amir Adnani, President and CEO. Please go ahead.

Amir Adnani: Thank Thank you, operator, and good morning, everyone. Please note that a presentation accompanying this conference call is available on the Presentations page of our website. Some of the commentary on today's call will include forward-looking statements and I would direct everyone to review Slide 2 of the presentation, which includes important cautionary notes. All right. Let's get started. This quarter was an exciting step change for UEC with major production expansion initiatives and the introduction of a strategic new business line. The launch of United States Uranium Refining & Conversion Corp positions the company to become the only U.S. supplier with both Uranium and UF6 production capabilities. In parallel, we maintained low-cost in-situ recovery production and advanced our growth projects in Wyoming and South Texas, supporting higher output through the balance of fiscal 2026. These developments strengthen our platform as America's largest integrated nuclear fuel supplier aligned with U.S. policy. We continue to enjoy the backdrop of increasingly favorable macroeconomic and policy tailwinds and as such, have continued to increase our Uranium inventory ahead of the Section 232 decision.

Amir Adnani: A year ago at this time, we had just resumed operations at Christensen Ranch. In only 12 months, we have delivered low-cost production at our first mine, are positioned for near-term production at our second mine Burke Hollow and are excited to have commenced development at our third mine, Ludeman. In the first quarter, we maintained low-cost production as we achieved a cash cost per pound of $29.90 based on 68,612 pounds of precipitated uranium and dried and drummed U308 produced. At our Irigaray central processing plant, upgrades were completed to support the transition to 24/7 operations including a full refurbishment of the yellowcake thickener and calciner. After quarter end, drying and packaging operations resumed on November 13, 2025, producing approximately 49,000 pounds of dried and drummed U308, subsequent to that date during the month of November. At Christensen Ranch, the focus has been on expanding ISR production capacity through the construction of 6 additional header houses in new well fields 11 and 12 and 10 extension. Further, we have commenced development at our Ludeman ISR project, the company's second satellite project in the Powder River Basin to our Irigaray hub-and-spoke operations. At Burke Hollow, we are nearing operational status, major construction milestones, including the ion-exchange plant and wellfield are substantially complete, setting the stage for initial operations at South Texas' newest ISR production facility and for Burke Hollow to become America's next producing uranium mine. These advancements position the company for higher production rates through the remainder of the fiscal year as new capacity comes online.

Amir Adnani: Switching gears to our development assets. At Sweetwater, work is progressing under the FAST-41 permitting designation for the project. Planning of initial delineation drilling in the first wellfield area and assessment of the mill refurbishment plans were advanced. At Roughrider, a 34,000 meters core drilling program commenced in October 2025 to target conversion of inferred to indicated uranium resources to support the announced pre-feasibility study for the world-class high-grade Roughrider project in Saskatchewan, Canada and the prolific Athabasca Basin. And finally, the launch of United States Uranium Refining and Conversion Corp, positions UEC to provide end-to-end capabilities of the secure geopolitically-reliable source of uranium hexafluoride, supporting [indiscernible] enrichment.

Amir Adnani: Moving to our financial highlights on Slide 5. Our balance sheet remains strong with $698 million in cash, inventory and equities at market prices and no debt. We completed a $234 million public offering to accelerate the growth of our new business line, while bolstering our balance sheet. Our uranium inventory stands had 1,356,000 U308 held at October 31, 2025, which excludes the additional 199,000 pounds of precipitated uranium and dried and drummed uranium concentrate at the Irigaray CPT produced since we restarted production. We also expect to purchase an additional 300,000 pounds through the end of this month from purchase contracts at below market rates of $37.05 per pound in addition to growing inventory from operations. By remaining 100% unhedged, we maintained full exposure ahead of the results of the U.S. Government's Section 232 investigation, while in a tightening global market with a structural supply deficit, positioning UEC to benefit from expected higher uranium prices. Our financial strength, coupled with the efficiency of our low-cost ISR operations enables us to ramp production responsively as market fundamentals and policy direction evolve. The current uranium price backdrop, underpinned by growing global nuclear demand and supportive U.S. policy provides a compelling setup for value creation. Importantly, the launch of UR&NC positions UEC to be the only vertically integrated American uranium producer. We are moving quickly. During the quarter, we commissioned the detailed feasibility study with Fluor and have begun hiring key technical and project personnel. Federal stakeholder discussions are ongoing and an extensive citing process has been commenced with potential host states and local governments. This initiative builds on UEC's existing uranium platform, advancing a fully American supply chain aligned with U.S. energy policy and defense needs.

Amir Adnani: As a reminder, we are focused on four key pillars of production growth. The Powder River Basin hub-and-spoke operations anchored by our Irigaray Central Processing plant in Wyoming, the South Texas hub-and-spoke operations anchored by our Hobson CPP, the Sweetwater hub-and-spoke operations anchored by our Sweetwater plant in Wyoming and finally, the Roughrider project in Canada. We are actively advancing each of these growth pillars and have provided a detailed update on our quarterly news release. I will now focus on our operating activities in the Powder River Basin and South Texas.

Amir Adnani: Moving to the next slide. We will start with the Powder River Basin hub-and-spoke operations. Since the resumption of operations as of October 31, 2025, accumulated production from Christensen Ranch was approximately 199,000 pounds of precipitated uranium and dried and drummed U308 at our Irigaray CPP. As part of the ongoing production ramp-up, UEC continue to develop new production areas at Christensen Ranch, mine development advanced with active well installation, piloting, casing and under-reading in wellfields 11 and 12 and 10 extension. Further, construction continued on 6 new header houses and wellfields 11, 12 and 10 extension. These new production areas will form the base for UEC's future production plans at Christensen Ranch. In parallel, process upgrades at our Irigaray CPP continued in the first quarter of fiscal 2026, including a full rebuild of 1 of 2 yellowcake thickeners, replacing the rig gearbox and motor along with the repair of replacement of multiple calciner components, together with the refurbishment completed at Christensen Ranch earlier in the year, these timely investments are expected to support higher production rates in addition to improved operational efficiency and performance. We are excited to announce that development plans have commenced at the Ludeman Satellite Project. This is a fully licensed and permitted project that will be constructed as a satellite ion-exchange plant sending uranium loaded resin to the Irigaray CPP for resin elution, precipitation, drying and packaging. Just 10 miles northeast of Glen Rock Wyoming, delineation drilling in the first production area at Ludeman commenced on November 19, 2025, with 200 holes planned. The delineation drilling will assist wellfield pattern design, Ludeman's SK 1300 compliant resources are 9.7 million pounds of measured and indicated and 1.3 million pounds of inferred uranium. 41 monitor wells are already installed for the production area and baseline water quality sampling is planned for these wells in Q4 fiscal '26. Engineering for the satellite plant is in progress using internal technical expertise with external engineering plan to commence in January 2026. Design and procurement of the ion-exchange vessels for the plant is also underway. Just as a reminder that in the Powder River Basin, the Irigaray CPP has a license capacity of 4 million pounds per year, surrounded by 17 satellite projects, 4 of which are fully permitted, including Christensen Ranch and Ludeman.

Amir Adnani: Turning to South Texas. Construction of the Burke Hollow ion-exchange facility and first production area progressed on schedule during the quarter with key advances made across wellfield development and processing infrastructure. All large diameter tanks have been installed at the ion-exchange facility and testing of the disposal world was completed with the state regulatory agency in attendance. The utility provider completed the installation of 3-phase power into the project site, and all facilities have been energized. Well completion and mechanical integrity testing reports are underway following completion of construction. The company's workforce in South Texas has grown to 86 personnel in preparation for the startup of the Burke Hollow project.

Amir Adnani: As we close out calendar 2025, the macro backdrop for uranium has never been dis-encouraging with strong bipartisan support for safe, clean, reliable nuclear energy. We see strong support from the U.S. Government including the recent designation of uranium as critical mineral. Big tech is a key component of new demand and with the largest hyperscalers continuing to invest heavily in the energy sector to secure the necessary power required for their massive data center investments. Overarching all of this is the fundamental supply deficit, which is expected to exceed 1.7 billion pounds by 2025 on a cumulative basis. As I've stated before, we have never seen a more positive policy environment for our industry. In summary, this quarter, UEC has neared an exciting inflection point of growing from a single asset producer towards diversified uranium production while becoming a U.S. origin supply chain from mine to conversion. UEC is uniquely positioned to meet the growing demand for secure domestic uranium supply. We're excited about the opportunities ahead and look forward to delivering further value to our shareholders. Before I turn it back to the operator, a couple of points. First, today's call is scheduled to conclude around noon Eastern. If we don't get to your question, please don't hesitate to reach out to our Investor Relations team, and we'll be happy to follow up directly. Second, please note that I'm joined today by Josephine Man, our Chief Financial Officer; Scott Melbye, our Executive Vice President; and Brent Berg, our Senior Vice President of U.S. Operations. Together, the four of us are backed by UEC team with more than 900 years of combined experience in the uranium industry. That depth of experience is what drives our daily execution across operations finance and strategy. With that, we'll open the call to questions. Operator, please go ahead.

Operator: [Operator Instructions] The first question comes from Brian Lee with Goldman Sachs.

Brian Lee: I just wanted to first start on the UR&C venture. I know you're making progress there, but just trying to understand a little bit better maybe the next set of milestones in the development of UR&C and maybe the timing of what you're expecting there through the first half of 2026? And then maybe where you'd like to be on that venture by the end of next year? And I had some questions around production as well.

Amir Adnani: Okay. With respect to UR&C, we are moving as fast as possible and mobilizing various initiatives around siding study that is now progressing very well. State level discussions and meetings that we've had with stakeholders and state-level governments. We would like to -- and we'll provide more information on this, Brian, but the work has commenced on our feasibility study with Fluor and other consultants that we have involved in that. We really want to be in a position to deliver that inside 2026 calendar year and hopefully towards the midpoint of that. But again, that's the date that we'll be able to speak to with more confidence as we approach fiscal Q2 for UEC. In the meanwhile, we've been very pleased with the way team building has been coming around in terms of building our technical team and technical bench strength around this new initiative. So overall, kind of multiple parallel tracks all moving forward. And we'll have a lot more to share in our fiscal Q2 results when those come out.

Brian Lee: Okay. Looking forward to it. And then just second question around production, a lot of moving pieces here. You have the upgrades at Irigaray, you're starting to move forward on Ludeman. Maybe as we zoom out, can you kind of give us a sense of what the production cadence is going to look like here into 2Q and then through the rest of the year? And maybe just specifically on Irigaray, the 49,000 pounds in less than 3 weeks, you sort of run rate that. It looks like it's 0.25 million pounds in a quarter potentially. Is that the right type of run rate that Irigaray is going to be running at now? And what does that mean for the cadence of production overall across the various sites through the rest of the year in the next couple of quarters?

Amir Adnani: Thank you, Brian. Just to zoom out again and again for perspective. And as I mentioned during my prepared remarks, 12 months ago, we were sitting in a place where we were just starting to ramp up at Christensen Ranch. We now have 2 solid quarters of results, demonstrating the low cost that we're delivering at Christensen Ranch and Irigaray amongst the lowest in the U.S. We are talking about bringing online Burke Hollow very soon. 6 additional header houses at Christensen Ranch, and now Ludeman is in the development construction pipeline as well. So you're right, there are a lot of moving parts. Brian, as you recall, much of the production that's been reported has come since April of this year from header houses 10-7 and 10-8. And now there are 6 new header houses coming online, which will be most hopefully inside second fiscal quarter. And then with Burke Hollow coming online, most of the production from Burke Hollow really contributing towards fiscal Q3. So to answer your question on cadence, we would expect to see more of a step change in that cadence in fiscal Q3 and Q4 as we see a greater contribution of production coming in from Burke Hollow and from most of the 6 header houses that are currently under construction at Christensen Ranch.

Operator: The next question comes from Heiko Ihle with H.C. Wainwright.

Heiko Ihle: Just a couple of follow-ups here. With Irigaray, the plant upgrades, obviously, you're done now. I assume the answer is no, but this doesn't really have a ramp-up period, right? In other words, this goes from off to full capacity pretty much at the flip of a button, right?

Amir Adnani: Yes, correct, Heiko. So most of that work is basically what we mentioned in the press release since coming online on November 13. So again, just to step back the refurbishment of the yellowcake thickener and calciner were sequential. And so as such, the equipment was offline for much of the quarter, while this repair and replacement of key components were underway. Once online on November 13, we were at steady state operations and had the steady-state operations had resumed basically with the drying and packaging throughput really nearing a rate of almost 1 million pounds per year. Let me just also allow Brent Berg, our Senior VP of Operations, step in on that. Go ahead, Brent.

Brent Berg: Yes. Thanks, Amir. I would just add that similar to the refurbishment that was undertaken in fiscal '25 for Christensen Ranch with the ion-exchange plant, we felt that it was an opportune time to do those similar upgrades to the Irigaray central processing plant. And so the refurbishment to the calciner was really centered around increasing throughput of dried yellowcake. And all of the updates that we did were things that included components as recommended by the manufacturer to increase operational efficiency, that work has really led to continuous 24/7 operation and the ability to operate the plant at design capacity.

Heiko Ihle: Fair enough. And then with Uranium Refining and Conversion URC, just a couple of follow-ups here. I mean, what would you say the major misconceptions in the market? I mean we've been getting a lot of questions on scalability and time to profitability even. How should analysts like myself show off how this thing can unlock shareholder value? And are there maybe any catalysts that are underappreciated by the market in your opinion?

Amir Adnani: Thank you, Heiko. At a strategic level and at a positioning level, clearly, this is an opportunity in a new business line that highly differentiates UEC. There are simply no other companies in the U.S. that have end-to-end capabilities from uranium resources to mining to processing and now the planned refining and conversion that we have in place. So strategically speaking, it's a highly differentiated positioning for UEC to be a true supply chain provider. With respect to the way the financial analysis around that work. The best outcome there is when our feasibility study is completed and reported. And as I mentioned earlier, we're aiming for that to be hopefully around the midpoint of 2026 calendar year, but again, we will firm that up as we report fiscal Q2 results, but we are moving very rapidly. We're capitalized to be able to move rapidly. And of course, as you know, this is work that is building on the last couple of years of prior early work that we completed, that was the foundation of what allowed us to be in a position to announce this UR&C initiative in early September. So it was only early September that we formally announced it and in just 60 to 90 days, we're making incredibly fast progress. And look, this is a very essential piece of the overall value chain and the supply chain for nuclear fuel. This is a serious bottleneck, without another conversion facility in operation, this is the real kind of pinch point right now between connecting mining and enrichment. So it's very integral, and we're very excited by it. And I think, yes, you'll have hopefully much more information to be able to value and assess this by in the coming quarters.

Operator: The next question comes from Katie Lachapelle with Canaccord Genuity.

Katie Lachapelle: In your prepared remarks, you noted that you've made a positive development decision for the Ludeman project. Can you provide any guidance on the potential production time lines or operating rates that you expect for that wellfield? And then in addition to that, how are you now thinking about the sequencing of the various ISR wellfields in Wyoming?

Amir Adnani: Thank you, Katie. I'll go first, and then I'll hand it to Brent Berg as well. So again, for context and as we zoom out, UEC has a very powerful position in the Powder River Basin in Wyoming and the Powder River Basin, have multi-decades of productive history for uranium mining, and we've assembled over the years of M&A and consolidation that we did, a platform that includes our central hub, that's the Irigaray central processing plant and 17 satellite projects. 4 of which are fully permitted and 2 that we're talking about now, Christensen Ranch, that's in operation and now Ludeman that we want to bring online next. So Katie, this is all speaking to the production ramp-up that obviously we have planned and that bench strength that we have and the sheer number of properties that we control, including fully permitted projects. So sequentially, you can see Christensen, obviously, is going to continue to grow. Ludeman, we've commenced the development work. And most likely, again, depending on market conditions, depending on the outcome of Section 232, we may even develop Reno Creek and more in parallel track. Again, we're taking our cues from the market. And when you're in a position where you're already operating, you're already permitted, you have the luxury to be able to make those decisions and respond accordingly. The Ludeman project is very well situated in terms of being just south of previously producing Smith Ranch mines that were in production for a very long time. And I'll let Brent maybe speak to some of the kind of accessibility issues and development plans that are currently underway at Ludeman. Go ahead, Brent.

Brent Berg: Sure. Thanks, Amir. Katie, I would just add that at Christensen Ranch, header houses 10-7 and 10-8 accounted for a large percentage of 2025 mine production. And it really highlights the importance of these new mining areas as we continue to ramp up production with mine development now routine at the Christensen Ranch operation. We've continued that development in wellfields 11, 12 and 10 extension where we've got 6 header houses underway with case well installation, nearing completion and surface construction on schedule for start-up of additional fresh production in the coming year. Ludeman of course, is an attractive project for us being fully licensed and permitted and just down the road from our Irigaray central processing plant. And so we will develop that project just as we would our new wellfields at Christensen Ranch and we'll truck loaded rest into Irigaray, for processing, no different than we are doing at Christensen Ranch, but it's a little further out in the next next exciting phase of our development at UEC.

Katie Lachapelle: Awesome. And then maybe just one quick follow-up. Just now you referenced the potential for the U.S. strategic uranium reserve as a potential outcome of the Section 232 investigation. Just wondering if you can provide any comments on expected time lines for that release? And then any additional key outcomes that you anticipate from the Section 232 investigation?

Amir Adnani: Katie, I'm going to let Scott Melbye, our Executive VP comment on that. And for the benefit of the listeners, Scott is also the President of the uranium producers of America, that's our industry association in Washington, D.C. Go ahead, Scott.

Scott Melbye: Great. Thanks, Amir. And Katie, we are optimistic about the potential for the strategic uranium reserve being really expanded over what was done in the first term. The report -- the 232 report has been submitted to the President. He has a statutory timeline to reply to that. Why are we so optimistic? Because none of those details have been released publicly, but we know we have a precedent from the previous 232 investigation. It was a remedy that President Trump chose to institute the first time around. I think the findings of import penetration hasn't changed over what were the conditions back then. In fact, the world has gotten more complicated with geopolitics. So we think the conclusion is the same, and we feel that, that's a remedy the President may go to. Secondly, we've also heard very supportive comments from Secretary Wright and Secretary Bergum, on the need for an expanded uranium reserve, public remarks that they've made in the last weeks and months. Three, I think it's safe to say this was in a very small way in the first term, a successful policy initiative. And speaking on behalf of UEC and I think the broader U.S. domestic industry, reinstituting the strategic reserve would result in advanced development activities at U.S. uranium operations. And then four, don't underestimate the defense needs for U.S. origin, un-obligated uranium for things like the naval propulsion program, if we're building more aircraft carriers and submarines as is President Trump's desire, we need more U.S-origin uranium. And I just direct people's attention to language in current National Defense Appropriations Act Legislation that's before Congress right now does direct Department of War and NSA to report on the status of our stockpiles of U.S-origin uranium and the adequacy of those stockpiles to move forward with further growth in our Naval Propulsion Programs. So we're optimistic we'll see like everyone else, what comes from that. But I think the legislative mandated timelines really kind of come around the end of the year. So we're hopeful we'll hear something in December. But if not, early January, we should hear the President's recommendations.

Operator: The next question comes from Joseph Reagor with ROTH Capital Partners.

Joseph Reagor: Most of mine are kind of follow-up to other people at this point. I guess first one, just as a follow-up on Section 232. Is it fair for us to assume that you guys are probably withhold for making any spot sales barring a jump in the stock price between now and the Section 232 readout?

Amir Adnani: Go ahead, Scott.

Scott Melbye: Yes. I mean we're quite content to build that strategic inventory. Of course, to have U.S-origin uranium available to sell into strategic reserve, is one objective. But two, we just believe that this market is in such a structural deficit today, and doesn't seem to be getting -- the gap isn't closing, if anything, with a doubling of nuclear generation now and production lagging. We're quite content to have these new pounds produced and our inventory to sell into stronger markets in the coming year.

Joseph Reagor: Okay. Fair enough. And then over at Irigaray, one question I don't think it has been asked yet is, do you guys have a rough estimate of how many pounds of production were held back because of the upgrades during fiscal Q1?

Amir Adnani: Joe, nothing was held back because we continue to keep material basically in circuit. So operations kept going, and we -- it was really just the final step of packaging the uranium, that did not occur. And the costs associated with that final step is extremely nominal. So really not that you've seen kind of from mid-November to end of November, things are -- things that have resumed post all those upgrades. It's finishing that final step. But otherwise, everything was working at the plant and supporting the feed that was coming in from Christensen. Brent, would you like to add to that?

Brent Berg: Sure. Thanks, Amir. Maybe I'd just add that the upgrades that we did were sequential. So we first tackled the thickener in the precipitation circuit. And this is 1 of 2 storage vessels for storing precipitated yellowcake prior to drying and packaging. So we did a full replacement of the rig, the gearbox and the motor for the rig dry. And then with the calciner, we did a number of upgrades, including all the wear parts like bearings, sand seals. We replaced the rake arms with insulated components and new teeth to increase retention time in the dryer. And additionally, the drive the motor, the gearbox, the bevel pinion were all replaced, but -- as a result, drying and packaging is now running 24/7 two-shift operation and as it should.

Joseph Reagor: Okay. One final thing, if I could. Do you guys have a budget, capital budget yet for Ludeman, or if not, when might we be getting them?

Amir Adnani: Yes. Joe, we'll look to provide more feedback on that in the next quarter coming up or current quarter that we're in for fiscal. But at the same time, you can expect very similar development cost there, as we've seen with Christensen Ranch and that we're looking basically -- we're utilizing many of the same drilling companies or drilling rigs that we used at Christensen. So one of the key components of our development cost, which is drilling to delineate the wellfields and install the wells. That cost is quite consistent in terms of what we've seen so far. And also Ludeman is much more of an accessible project, that's closer to nearby town. And so we also feel we may have some benefit there in terms of development cost has been moved forward. But again, some good parallels and similarities with what you've seen out of Christensen Ranch exists with Ludeman.

Operator: The next question comes from Justin Chan with SCP Resource Finance.

Justin Chan: I guess as a follow-up to the questions on Christensen Ranch and Ludeman. So you've got the 6 header houses that are under construction. Do you plan to construct more over the next, let's say, the remainder of this fiscal year? Or will the Christensen Ranch be what you're planning there? And then the new header houses are at Ludeman? Yes. Can you just give us an update on that? And for Texas, can you give a sense of what the milestones are over the next, let’s say, next quarter and then the quarter after that so we can judge progress?

Amir Adnani: Yes, for sure. Brent, why don't you go ahead on Ludeman and Christensen Ranch?

Brent Berg: Sure. Justin, thanks for the question. So at Christensen Ranch, of course, when you were at site, we toured the well development, wellfield development. And we're very much focused on mine unit 11 or wellfield 11 at that time. We've since started development in wellfield 12 as well as 10 extension. But we will continue on with further development and additional header houses at Christensen Ranch. So wellfields 10 extension as well as an extension to wellfield 8 are both quite large, and there are a number of header houses with associated with both. So we will -- you'll continue to see this pace as we progress. In terms of Burke Hollow. Construction is substantially complete. So what the team is very focused on right now is preoperational testing and commissioning of equipment, training key personnel and finalizing as-built drawings mechanical integrity tests and well completion reports. As far as next milestones, the wellfield at Burke Hollow will be brought online gradually and increasing the flow to the satellite ion-exchange plant chemicals, including oxygen, carbon dioxide and bicarbonate will be added to the initial production area to activate the uranium recovery process. And then as the grade increases in the feed to the plant, the uranium content loaded on the resin will subsequently increase. And of course, once that resin is loaded, it will be transported to -- in one of the new resin hauling trailers to Hobson for processing. So that's what I foresee the next few months looking like.

Justin Chan: Got you. So at Burke Hollow, let's say, this time next quarter, you'll have solution into the wellfield. Presumably, it will be a target PH, and we'll start to get some information about grades and flow rates and stuff like that? Is that a good way of tracking over the next few months, what I might be asking you in 3 months' time?

Brent Berg: Yes. Justin, I think that's exactly right. So as we start adding the chemical to the wellfield. We'll see the uranium grade respond as well as the PH and we'll get a lot better picture of what that production profile is going to look like as we ramp up Burke Hollow and send that uranium loaded resin to Hobson for process.

Operator: The next question comes from Mohamad Sidibe with National Bank Financial.

Mohamed Sidibe: Most of my ones have been answered. But maybe just on your UR&C, given the work that you're advancing in fiscal year 2026 ahead of the feasibility study, can you maybe provide us with a little bit of color on maybe the spend required to advance some of these initiatives specifically for fiscal year '26?

Amir Adnani: Mo, just I heard your question. What was the required part you asked for -- the bandwidth required?

Mohamed Sidibe: No, no, the spend. So just trying to understand how much spend to advance the feasibility study, the engineering work, advanced negotiations with host governments? Just to understand a little bit better the impact to your balance sheet use for fiscal year 2026 as you advance work on the conversion facility?

Amir Adnani: Thank you for the question. Relative to the size of our balance sheet and relative to the current quarterly cash burn rate Mo, given the sort of study phase that we're at right now with UR&C, the requirements, the capital requirements are still very modest. In the coming quarter or 2, we'll be able to obviously speak to that with more estimates and especially as the feasibility study comes out. But certainly, I would say we are very sufficiently capitalized for the work that needs to happen there. And the current spending is very modest, again, because we're at that study stage and that work you would appreciate is -- is going to be like that. But ultimately, again, there is a serious kind of ramp-up in work and efforts coming and there will be another kind of step change in the work we're doing once the feasibility study is released once the siding work has been completed once site selection has been announced and sort of planned. So again, major milestones ahead. But between now and then, very adequately funded to continue to advance the work.

Operator: This concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.

Amir Adnani: All right. Thank you for that. Thank you for everyone who participated in today's call. We really appreciate it. Again, as we said at the outset that this quarter represents a major step change for UEC both in terms of the strategic initiative that we have launched with our uranium the United States Uranium Refining and Conversion Corp. Again, this highly differentiates UEC as being the only company with U.S. origin supply chain from mine to conversion. The work that has been done in operations, again, we were just a year ago, just resuming at Christensen Ranch and came into this quarter as a single asset producer, and we've laid the groundwork during this quarter to become a multi-asset producer with Burke Hollow coming into production eminently and with Ludeman now in development and construction. The other area in terms of the operating results at Christensen Ranch, we're really pleased with demonstrating the continued low cost production profile that, that project carries between uranium recovered and processed, between Christensen Ranch and Irigaray plant. So again, all in all, a lot happening, a lot of significant progress. We're very excited by it all. But also to highlight that we remain in an incredibly strong balance sheet position. In fact, even stronger than before. We continue to be debt-free and with almost $700 million of cash, physical uranium and liquid assets. Finally, with 1.4 million pounds of uranium in inventory, not including the 199,000 pounds produced and not including another 300,000 pounds that we have the ability to purchase this month. We're sitting also in a very strong inventory position ahead of the Section 232 decision, and hopefully, that will be a positive catalyst as we believe it could be for our industry, particularly the U.S. uranium industry where UEC is the leading company in that space and the fastest-growing and largest U.S. uranium company. Thank you again for your time today and wishing everyone a pleasant December, Merry Christmas and happy holidays.

Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.